Huang Howe: Thank you operator and good morning. Please note that the presentation accompanying management's remarks can be found on the Investor Relations portion of the company's website at www.standex.com. Please refer to Standex's Safe Harbor statement on Slide 2. Matters that Standex management will discuss on today's conference call include predictions, estimates, expectations and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to Standex's most recent annual report on Form 10-K as well as other SEC filings and public announcements for a detailed list of risk factors. In addition, I'd like to remind you that today's discussion will include references to the non-GAAP measures of EBIT which is earnings before interest and taxes, adjusted EBITDA which is earnings before interest, taxes, depreciation and amortization, adjusted EBITDA, EBITDA margin and adjusted EBITDA margin. We will also refer to other non-GAAP measures, including adjusted net income, adjusted operating income, adjusted net income from continuing operations, adjusted earnings per share, adjusted operating margin, free operating cash flow and pro forma net debt to EBITDA. Adjusted measures exclude the impact of restructuring, purchase accounting, amortization from acquired intangible assets, acquisition-related expenses and onetime items. These non-GAAP financial measures are intended to serve as a complement to results provided in accordance with accounting principles generally accepted in the United States. Standex believes that such information provides an additional measurement and consistent historical comparison of the company's financial performance. On the call today is Standex's Chairman, President and Chief Executive Officer, David Dunbar; and Chief Financial Officer and Treasurer, Ademir Sarcevic.
David Dunbar: Thank you, Chris. Good morning and welcome to our fiscal third quarter 2025 conference call. Following strong operating performance in the fiscal second quarter, we achieved several new records in our fiscal third quarter. These achievements include record sales since the divestiture of the Refrigeration business in April 2020, record adjusted gross margin of 42.3% and record adjusted operating margin of 19.4%. Our growth engine continues to develop with sales into fast-growing end markets, representing a greater percentage of total sales. I'm also encouraged that new product sales are increasing above our projections and have added approximately 3% to our sales year-to-date. Once again, our teams have demonstrated their ability to navigate through difficult market conditions and deliver strong operating margins with price and productivity actions. Now if everyone can turn to Slide 3, key messages. In the third quarter, sales increased 17.2% with contributions from acquisitions, partially offset by organic decline. Electronics book-to-bill was 0.98, indicating that markets are stable. And Electronics organic bookings were up more than 10% year-on-year. Sales from the Amran/Narayan Group were greater than $33 million with book-to-bill of 1.04. The Amran/Narayan Group continues to perform ahead of our expectations. In the quarter, we made significant progress in planning expansions in India, Europe and the U.S.A. In all regions, customer commitments extend years into the future and give us confidence to expand our existing facilities in India and the United States. At the request of the largest European electrical equipment OEMs, we are beginning work on a greenfield site in Europe and expect to be shipping product from that location by the end of our first quarter 2026, less than 6 months from now. Our fiscal third quarter sales into fast-growth markets increased to 29% of total company sales. Sales in the fast-growth markets were primarily driven by electrical grid, commercialization of space, defense applications and renewable energy. New product sales totaled $13.4 million in the fiscal third quarter which doubled year-on-year, contributing approximately 3% to top line sales ahead of our goal of 2%. I'm especially pleased that we continue to demonstrate a resilient operating performance from the execution of our price and productivity initiatives and from inorganic investments. As a result, we achieved record adjusted gross margin of 42.3% up 140 basis points sequentially and 230 basis points year-on-year and record adjusted operating margin of 19.4%, up 70 basis points sequentially and up 280 basis points year-on-year. The integration of Amran/Narayan and McStarlite are progressing well. On a sequential basis, in fiscal fourth quarter 2025, we expect slightly to moderately higher revenue driven by the impact of recent acquisitions, higher sales into fast growth end markets and realization of pricing initiatives. We expect slightly to moderately higher adjusted operating margin due to higher revenue and realization of productivity actions partially offset by tariff costs and targeted investments in selling, marketing and R&D. With 3 new products just released in the fiscal third quarter, we have released 13 products year-to-date, achieving our previously communicated target for over a dozen products in the fiscal year. Sales from new products are tracking ahead of expectations and are expected to contribute over 200 basis points of incremental growth. Now if everyone could turn to Slide 4, tariff and inflation update. Before we discuss our fiscal third quarter in more detail, I would like to address the recent tariff announcements and how we are navigating their impact. Our customer intimacy business model requires that our plants are near customers, limiting exposure to tariff and trade disruptions. We have in-region, 4-region operations and greater than 85% of our products are manufactured and sold within the same region. This serves as a natural buffer to any impact tariffs may have on economic activity. In addition, most of our customer relationships are based on a deep value proposition and long-term partnership that typically only gets stronger during turbulent times, positioning us well for the long term. To put another lens on this, imports of material inputs to U.S. operations are a relatively small percentage of total cost of goods sold. Approximately 6% of our cost of goods sold are due to imports of materials to U.S. operations from China. Approximately 4% are from India and approximately 3% are from other countries. We have started implementing additional productivity actions and select price increases and working to optimize our supply chain to mitigate the impact of tariffs. An intangible benefit of this uncertain economic environment is that our management teams around the world are coming together as they did in COVID to simultaneously protect margins, support strategic priorities and strengthen collaboration across the enterprise, a demonstration of our growing and strong culture. We plan to continue to invest in our key growth priorities and the new product development as we work with customers on their next-generation product platforms. We came out of the COVID downturn a much stronger company and I anticipate the same results during this disruption we are confident in our agility, resilience and business by business execution over the short and long term to continue to deliver for our shareholders. Now if everyone can turn to Slide 5, highlighting our recent acquisition. In early February, Standex acquired McStarlite, a leading provider of complex sheet metal aerospace components for $56.5 million in cash. With facilities in Harbor City, California, McStarlite designs and manufactures cold deep draw and bulge-formed aviation components, including single-piece lipskins, nozzles, complex metal assemblies and tooling to support production hardware. We have admired McStarlite for many years and this represented an ideal bolt-on acquisition for Engineering Technologies. The integration has been seamless since its customer base, product line and technologies are highly complementary to our Spincraft business. We are excited about our expanded product breadth and forming capabilities in commercial aviation, space and defense applications. With the addition of McStarlite, the addressable market within Engineering Technologies expands by greater than $300 million. McStarlite enables expansion into wide-body, military and MRO lipskin segments and into space and defense sectors. Likewise, it expands Spincraft lipskin addressable market by 3x and doubles addressable missile solutions while providing opportunities to cross-sell solutions to existing space customers. I will now turn the call over to Ademir to discuss our financial performance in greater detail.
Ademir Sarcevic: Thank you, David and good morning, everyone. Let's turn to Slide 6, third quarter 2025 summary. On a consolidated basis, total revenue increased approximately 17.2% year-on-year to $207.8 million. This reflected a 26.3% benefit from recent acquisitions partially offset by an organic revenue decline of 8.1% and 1% impact from foreign exchange. Third quarter 2025 adjusted operating margin increased 280 basis points year-on-year to a record 19.4%. In the fiscal third quarter, adjusted operating income increased 37.3% on 17.2% consolidated revenue increase year-on-year. Adjusted earnings per share increased 3.7% year-on-year to $1.95. Net cash provided by operating activities was $9.6 million in the third quarter of fiscal 2025 compared to $24.4 million a year ago. Capital expenditures were $6.1 million compared to $5.2 million a year ago. As a result, we generated fiscal third quarter free cash flow of $3.5 million compared to $19.3 million a year ago. Our fiscal third quarter cash flow was impacted by onetime transaction-related payments, certain annual tax payments and longer customer credit terms related to recent acquisitions that affected cash conversion in the quarter. Now please turn to Slide 7 and I will begin to discuss our segment performance and outlook, beginning with Electronics. Segments revenue of $111.3 million increased 38.4% year-on-year as 48.1% benefit from acquisitions was partially offset by an organic decline of 8.9% and 0.8% impact from foreign currency. Adjusted operating margin of 29.8% in fiscal third quarter 2025 increased 760 basis points year-on-year as the contribution from recent Amran/Narayan Group acquisition, productivity initiatives and product mix were partially offset by lower core volumes. Excluding recent Amran/Narayan Group acquisition, our new business opportunity funnel increased approximately 50% year-on-year to $117 million. Further progress of our operational and commercial excellence initiatives drove commercial expansion in India, increased activity in the test and measurement end market supported by AI and data center expansion and higher activity and demand in mil/aero end market. Our book-to-bill in fiscal third quarter was 0.98 with orders of approximately $109 million, driven by stable orders in core businesses and contribution from Amran/Narayan Group acquisition which had a book-to-bill of 1.04. Organic bookings increased over 10% year-on-year. Since our products are customized in nature, our bookings take longer to convert into revenue but with stronger margins. As David mentioned, our expansion plans for Amran/Narayan within the U.S. and India are well underway to support additional demand. In addition, we are working on our greenfield site in Europe that should be operational within 6 months. Sequentially, in fiscal fourth quarter 2025, we expect slightly higher revenue and similar to slightly higher adjusted operating margin driven by the Amran/Narayan Group acquisition, higher sales into fast growth end markets and price realization, partially offset by higher tariff costs and continued strategic growth investments. Please turn to Slide 8 for a discussion of the Engraving and Scientific segments. Engraving revenue decreased 15.7% to $30.6 million, driven by organic decline of 12.6% and a 3.1% impact from foreign currency. Adjusted operating margin of 11.2% in fiscal third quarter 2025 decreased 720 basis points year-on-year due to lower revenue. In our next fiscal quarter, on a sequential basis, we expect slightly higher revenue and moderately higher adjusted operating margin due to more favorable project timing in Asia, slightly improved demand in North America and Europe, and realization of previously announced restructuring actions. To address the continued softness in end markets served by this segment, our previously announced restructuring actions are underway and are projected to yield over $4 million in annualized savings once fully implemented. Scientific revenue increased 8.1% to $18.3 million due to 16.1% benefit from recent acquisitions, partially offset by an organic decline of 8% primarily due to lower demand from academic and research institutions that were impacted by NIH funding cuts. Adjusted operating margin of 22.6% decreased 780 basis points year-on-year due to organic decline in product mix as a result of the acquisition. Sequentially, we expect slightly lower revenue and adjusted operating margin due to soft demand from academic and research institutions affected by NIH funding cuts and higher tariff costs. To counteract the impact of higher tariff costs, we plan to implement pricing and productivity initiatives while continuing to optimize our supply chain through alternate sources. Now turn to Slide 9 for a discussion of the Engineering Technologies and Specialty Solutions segment. Engineering Technologies revenue increased 36.2% to $27.4 million, driven by a 26.3% benefit from recent McStarlite acquisition and organic growth of 9.9%. This strong organic growth was due to more favorable project timing in the space end market and growth in sales from new products. Adjusted operating margin of 18.6% increased 110 basis points year-on-year due to contribution from recent acquisitions and higher volume. Sequentially, we expect similar to slightly higher revenue and similar adjusted operating margin. Specialty Solutions segment's revenue of $20.2 million decreased 13.9% year-on-year, primarily due to general market softness. Operating margin of 16.2% decreased 370 basis points year-on-year. Sequentially, we expect moderately higher revenue and operating margins. Next, please turn to Slide 10 for a summary of Standex's liquidity statistics and the capitalization structure. Our current available liquidity is approximately $170 million. At the end of the third quarter, Standex had net debt of $470.4 million compared to $10 million at the end of fiscal third quarter 2024. Our leverage ratio per our bank credit agreement currently stands at 2.8%. In fiscal fourth quarter 2025, with the addition of McStarlite, we expect interest expense to be approximately $9 million. Standex's long-term debt at the end of fiscal third quarter 2025 was $580.2 million. Cash and cash equivalents totaled $109.8 million. We declared our 243 quarterly consecutive cash dividend of $0.32 per share and approximately 6.7% increase year-on-year. In fiscal 2025, we expect capital expenditures to be between $25 million and $30 million. Relative to our debt leverage, we will continue to focus on paying down debt and anticipate that our leverage ratio will further improve at the end of the fourth quarter and will continue to decline to 2026 as we announced with our acquisition of Amran/Narayan Group. I will now turn the call over to David for concluding remarks.
David Dunbar: Thank you, Ademir. Please turn to Slide 11. I'm very proud of our team for their continued operational execution and for the success of our recent acquisitions, both of which helped us achieve record adjusted operating margin for a second consecutive quarter. Sales into fast growth end markets are well on track for our fiscal year 2025 expectation of approximately $170 million. This was primarily driven by growth in data center demand and crude modernization and expansion. Outside of the electrical grid, we are seeing growth in commercialization of space, defense applications and renewable energy end markets. To support our future growth, we continue to invest in new product development and new applications across markets with growth potential. We have released 13 new products year-to-date and new products are now expected to contribute over 200 basis points of incremental growth this fiscal year. While we cannot predict the impact of new tariffs on global trade and economic growth, our regional presence, strong customer relationships and our disciplined approach to pricing and productivity actions position us well to manage through the current and short-term challenges. Most of our supply chain is strategically located to service regional demand. With China imports to the U.S. representing approximately 6% of the cost of goods sold. We plan to continue to invest in our key strategic priorities while implementing additional productivity actions and select price increases and working to optimize our supply chain to mitigate the impact of tariffs. We remain on track to achieve our fiscal 2028 long-term targets of sales of greater than $1.15 billion. Adjusted operating margin of greater than 23% and ROIC of greater than 15.5%. We remain confident in our ability to pay down debt and reduce our net leverage ratio. We will now open the line for questions.
Operator: [Operator Instructions] With that, our first question comes from the line of Chris Moore with CJS Securities.
Chris Moore: Right. Maybe we'll start with tariffs. So 6% of COGS imported from China. Is that mostly scientific and Hydraulics?
David Dunbar: Yes. So that it's split in about 3 parts almost equally. About 1/3 of that goes into electronics, 1/3 into specialty and the remaining 1/3 into scientific.
Chris Moore: Got it. So and I guess, the 2 primary -- one is looking for alternative sources and 2 is pricing. Is pricing power, you have a little more pricing power in one of those splits? Or how do you look at that?
David Dunbar: Yes, that's a great question because it does vary business by business. So within Electronics and Specialty, we think because of the -- I guess, the significance of the builder materials, the relationship with customers and the overall value proposition, we're confident we cover the China tariffs with price productivity actions, working with customers. Scientific is a little bit different. Now you have to assume what will happen with the tariffs. If the China tariffs stay where they're at right now, it's 145% on China. We think we can scientifically and cover about 70% of that incremental tariff with price and productivity. And then longer term, we'd have to look at some changes in supply chain and product design, it would take about a year to make up the rest of that.
Chris Moore: Got it. Very helpful. Right. So it doesn't look like Q4 will show any organic growth. I guess just the puts and takes for organic growth in fiscal '26 is obviously, visibility is where you'd like it to be at this point. But is that more of a back half conversation? Or just any thoughts there at this stage?
Ademir Sarcevic: Well Chris, it's Ademir. I think if you look at electronics, specifically, we are very pleased with the order intake rate in the core business we are seeing over the last couple of quarters. And obviously, Amran/Narayan has been a phenomenal acquisition for us, albeit it's not organic yet. So as we enter FY '26, we do -- again, assuming current economic environment and nothing significant -- no significant changes, we do believe we're going to start seeing organic growth; and electronics is our engine. As far as the other businesses, Engineering Technology Group, a very robust order book, very strong end markets. We feel very, very confident that they will continue to show organic growth. And then Engraving, frankly, is coming from a very low starting point at this stage with the auto market in North America being an all-time low. So there's a possibility and we feel that we'll be able to turn the tide there as well. Scientific remains a little bit of a challenge because of what David just described. And that Specialty has been -- we feel pretty good about Specialty as far as the organic growth is concerned as well.
David Dunbar: So well, I guess another way to look at it because you mentioned both Q4 and the upcoming quarter and the rest of the year. If you just zoom out a little bit and think about what's driving growth long term in the portfolio, those things that we're confident in that we know we can control. So the fast growth markets Amran/Narayan alone continues its growth, we'll add about $20 million of sales to the company over a year. That's over 2 points of growth. Our new products are running ahead of what we had said earlier this year, contributing just about 200 basis points of growth. So that's 400 basis points from all the investments and movements we've made in the last few years to focus more on organic growth. And now you have to make assumptions about underlying market. If you assume no recession and say we've returned to, say, 2.5% GDP. On top of that, we typically get about a point of price in "normal times." So you add those all up, making assumptions about the end market that bookend of growth expectations.
Chris Moore: Got it. That's very helpful. Maybe just the last one on Amran/Narayan. The planned expansion, it sounds like you said about 6 months before you start selling in Europe. But just is there a significant investment required to begin there? Or just kind of what the primary kind of milestones are over the next 2 quarters?
David Dunbar: Yes. Thank you for that question. We're very excited about this. Europe is actually the biggest end market for their products. It's over a $2 billion market, whereas America is about $1.5 billion. And they have served European OEMs out of India. And I think we announced even at the acquisition, those OEMs have been asking them to create a footprint in Europe. So the last quarter, we've made several trips to Europe. We're working -- we're progressing rapidly. And this will go in stages. So the initial stage is the investment will not be significant. We just -- we obviously need a building. We'll start stocking and doing some testing and then gradually add equipment. So in the first year or 2, maybe $1 million, $2 million of investment. And then as it grows, we will -- we'll expand it from there.
Ademir Sarcevic: Yes, Chris. It's not a very high capital investment required for us to get it started. So there should be a lot of cash outflows there.
Operator: And your next question comes from the line of Matt Koranda with ROTH Capital.
Matt Koranda: Maybe just continuing on with the electronics questioning. So Amran/Narayan, the order trend looks pretty encouraging. Just wanted to see if maybe you could unpack the end markets that are driving strength for them between data center or some of the electrical grid infrastructure expansion. And then could you talk about capacity utilization there right now? It sounds like I would imagine we're running quite high given that we're going to be adding a plant in Europe. And so what does capacity utilization look like right now? Is there a hit to margins as you kind of ramp for the new plant in Europe? Maybe just talk about the transition there over the next couple of quarters.
David Dunbar: Yes. So first of all, the sources of growth are more or less what they were when we announced the acquisition, you've got grid modernization in all parts of the world. There's expansion of electrical capacity just to support growth -- economic growth and living standards, data centers and artificial intelligence are driving investments. So we are not seeing any change in that momentum. Our relationships are with the large electrical equipment OEMs, they still have demand that goes out several years. So we see no change in those drivers for the growth. Our capacity, we still have capacity in our current plants and we're probably running, I don't know, 60%, 70% capacity. We've recently added a second shifts in India and in Texas. But we also announced in the script, we will expand in India. We'll add footprint, we'll expand in the U.S. with that footprint and we have the greenfield site coming in Europe. We have good visibility to the demand from customers. And so that capacity will come online in time to meet that demand.
Ademir Sarcevic: Yes. And Matt, if I can add is, from a margin standpoint, we don't anticipate that the margins in Europe will be any different than the margins of the consolidated group as they stand today.
Matt Koranda: Okay, very clear. I appreciate that. And then maybe just on the core order book in electronics. I think you guys mentioned kind of flattish in terms of order trend quarter-over-quarter. What does that mean for sort of when we inflect to the positive in terms of organic growth in the Electronics segment? How soon could that come? What would that look like over the next couple of quarters?
Ademir Sarcevic: Yes. I mean -- and the other thing that I just want to mention, Matt, we are about 10% up organically on orders in electronics if you look at year-on-year. So we are kind of at that reflection point now, to be quite honest with you. And as we move into the next fiscal year which would be our fiscal first quarter FY '26 next quarter, we feel we are turning the corner and we should start showing organic growth.
Matt Koranda: Okay, great. And then maybe just the last one, if I could. Thinking about the sort of the overall deposition here, what are your thoughts on sort of leverage and where we'd be willing to take it if we found an attractive acquisition over the next few quarters? Or I guess, should we think about sort of leverage as coming down over the next few quarters and we're driving cash to delever the balance sheets with the macro uncertainty that we're dealing with. Just wanted to hear your thoughts on that front.
Ademir Sarcevic: Yes. So Matt, our leverage as it stands today is about -- our bank facility is about 2.8 if you kind of annualize our fourth quarter EBITDA, it's less than that. It's about 2.5, 2.6. Obviously, our priority is to pay down debt. And we also have a lot of very exciting organic initiatives that David has just been talking about, specifically in electronics and some other businesses. So our priority would be to invest in organic growth and the things we know the best and we control. And then at the same time and obviously work down to pay down the debt and take the leverage down. And we think we're going to make a dent in leverage this quarter. We're going to continue to work it through FY '26. And we have a very good cash-generating company and we'll continue to focus on both organic growth investments as well as paying down the debt.
David Dunbar: Yes, let me add something to it. Just from a philosophical standpoint, I guess, we're about as high in leverage as we'd like to be. We are still in the market -- a lot of the acquisitions that we make are based on years and years of relationship building. So we continue to do that. And in the next year or so will be at the leverage point we could consider.
Operator: And your next question comes from the line of Mike Shlisky with D.A. Davidson.
Mike Shlisky: So leverage at 2.8, it sounds like it's coming down. That's certainly good to hear. Besides just rolling in Amran/Narayan and the McStarlite EBITDA into the numbers that you implied, Ademir. you have any other lever you're looking to pull on the debt side, I mean I wasn't sure if you needed to or clearly liquidate any working capital in the near term or if you even have to. Just curious as to how you feel about other parts of your balance sheet at the current time.
Ademir Sarcevic: Yes. Look, we certainly have some opportunities in our working capital metrics. As an example, some of the businesses we recently acquired generally have a longer credit terms with some of their customers, those credit terms are sometimes over 90 days. So obviously, we'll be working with our new acquisitions as well as the customers to try to improve those terms and get them a little bit more balanced, if you will. So we clearly have opportunity on receivables. We'll obviously continue to manage inventory as well. So yes, I mean, there's clearly an opportunity to get more operating cash flow in the upcoming quarters and we plan to do that.
Mike Shlisky: Great. I also wanted to circle back to some of your answers and comments on tariffs from earlier. Given that scientific is at this point, such a small part of the overall company in China, the China part of it is even smaller, of course and the other things that you mentioned in the other segments, does it feel like the total potential impact from the tariffs that you're seeing today, are anything changing going forward? It's pretty de minimis and the -- would you agree with the thought that maybe the efforts you have to take to mitigate it through pricing and productivity is relatively minor, it doesn't seem all that challenging at this point. This just doesn't sound like you're in any kind of concern or huge panic here at all.
Ademir Sarcevic: Yes, I think that's a fair way to summarize it, Mike. But obviously, it's opted to do the best we can to continue maintaining good relationship with suppliers, with customers and, obviously, to protect our margins. But yes, I mean, in the grand scheme of things, it's not -- again, as David said, we are in the region for the region, for the most part in terms of our supply chain as well as customer relationships. So yes, the impact for us is not -- certainly not significant.
David Dunbar: We laid out pretty clearly early of that 6%, it's about $10 million, $10 million, $10 million. Just the $10 million of scientific that's going to require some more. So it's not to minimize the work that they have to do. So in that business, there's plenty of work but they've got line of sight to actions to contain that as I described earlier.
Ademir Sarcevic: It's our job to worry, Mike, right?
David Dunbar: But no, you're right. The overall impact at a corporate level, de minimis.
Ademir Sarcevic: Yes, that's correct.
Mike Shlisky: Okay, great. And I wanted to turn to some of your comments you made on the new products that are kind of in the process of rolling out from fiscal 2025. But at this point, this 2026 starts in just 2 months from now. Can you maybe just share with us -- yes. So could you maybe just share with us some of your plans for new products during 2026. Could it be on the same order magnitude of 2025. And also, is there a tailwind from stuff that got introduced during 2025 that still has to lap in 2016 or has ongoing adoption that will be beyond just small organic growth next year.
David Dunbar: Yes, those are great questions. I think we've talked before that because of our business model and our products are sold to OEMs who are incorporating that into their next-generation platforms. It typically takes about 3 years for any application, any new opportunity we win to ramp to full volume. So that's true of new products as well as just the applications of our existing products. So everything we released this year will continue to ramp in the coming years. We also have a pipeline that we would expect order of magnitude, the same number of products to be released in FY '26 as in FY '25.
Operator: And your next question comes from the line of Ross Sparenblek with William Blair.
Ross Sparenblek: Just kicking off with core electronics. Can you maybe just update us on where we are with like the broader restocking phase? And what's underwriting confidence for a return to growth in 2026 on the organic side, just against the core business?
David Dunbar: Yes. So if you look at the underlying business, we're seeing strength in Asia. North America is ticking up. Europe remains soft. Most of the stocking destocking impact was in Asia and China for us and that is a few quarters ago, we said it was bottoming out, that's picking up.
Ross Sparenblek: Okay. Well, then maybe just help us size the automotives and general industrial exposure again, trying to think about the admin flow of China picking up with North America and Western Europe get a little weaker there at least from the auto side.
David Dunbar: What's the question there, you mean auto -- and total electronics.
Ross Sparenblek: Yes and general industrial because those were both noted as being weaker again this quarter.
David Dunbar: Yes. Historically, just thinking a lot here auto has been about 20% of the electronics business, a little lower now just because it's been soft. Yes, it's more like -- it's been more like 15% in recent quarters. So EVs have been flat. Other combustion engine has declined. So we're about 15% of total electronics.
Ross Sparenblek: And then just on the scientific side, can you just maybe help us frame the risk here from the NHI funding? I mean, based off last quarter, it looks like a couple of million and that probably comes for the next 3 quarters going forward. And then I believe on the pharmacy side, that's pretty much at trough? Are you seeing any signs of recovery there?
Ademir Sarcevic: Yes. I think Ross for the NIH, I think you just size that well in terms of the potential impact Yes. And for the pharmacies, yes, you're right, it's kind of at the trough. We are waiting to see if the new capital equipment requests are going to come in. Maybe some of that is a little bit impacted now with some of the economic uncertainty. But certainly, those units that we placed years ago are due to be replaced and we do expect we're going to see some uptick in the near future.
Ross Sparenblek: I mean, are you having active conversations there?
Ademir Sarcevic: Yes.
Ross Sparenblek: Two key players, right? Okay. That's good to hear. And then maybe just 1 last one on McStarlite. Can you call out the major programs there? You noted widebodies, is there any bone exposure, Airbus, anything we can point to?
David Dunbar: Yes, both Boeing and Airbus, they're both on the wide-body programs in both those players.
Ross Sparenblek: All right. I mean, is this primarily sole source single sourced or what they are.
David Dunbar: Yes.
Operator: And your next question comes from Gary Prestopino with Barrington Research.
Gary Prestopino: A couple of questions here. In the guidance that you gave us for Q4, in terms of the organic decline, is it going to be very similar to the organic decline in sales that you saw in Q3?
Ademir Sarcevic: No, it will not because we do believe electronics will which is, again, our engine will do better than they have done in Q3. So we see -- we should see some improvement there. The only one that I would point to that might be a little soft from kind of a comparison would be obviously scientific for the reasons we just spoke about. But yes, we do expect that...
Gary Prestopino: No. When you say sequentially up and I'm just back of the envelope, Amran, let's say, you bought it, had $100 million of revenues, you had $25 million there. McStarlite about $8 million, that's $33 million. So I'm just trying to get an idea of when you're talking about the changes you're seeing in or contemplating or the growth you're contemplating just what we have to work off there. So we really shouldn't be looking at about an 8% organic decline in Q4 as we saw in Q3.
Ademir Sarcevic: No, no.
Gary Prestopino: Okay, that's good to hear. I just want to ask, in terms of fast growth markets, were your sales last quarter about $26 million, I think I went back and looked at that and you were about $60 million this year. Is that kind of correct or this quarter?
David Dunbar: Yes, that's right. About $60 million. The $26 million you quoted, what period were you referring to?
Gary Prestopino: I was looking at last year's Q4, Q3.
David Dunbar: Yes, that's right. Yes. And you recall this last quarter, we kind of bridged kind of recasting. We have an old number, new number because the Amran/Narayan sales are all into fast growth. So we're including that in the $60 million, of course.
Gary Prestopino: Right. So if I can phrase the question this way, given that Amran had a pretty good margin profile, how has that changed the margin profile -- adjusted operating margin profile your sales in the fast-growth markets. Is it -- could you give us an idea of the magnitude of the basis point increase year-over-year.
David Dunbar: Yes. Let's see. So yes, that's a great question. Our margins in the fast-growth markets have always been higher than our average margin because they tend to be newer products, it's a great value proposition. The Amran/Narayan margins still are higher than that average. So it's about half of our -- it probably has a couple of hundred basis points to our fast growth margins.
Gary Prestopino: Okay, a couple of hundred basis points. As this grows, it's going to become very accretive.
David Dunbar: Yes.
Gary Prestopino: Okay. And then lastly, on the -- 1 of the things you mentioned was the tariffs, you said some of this with price increases. And I realize this is rather de minimis relative to other companies. But have you informed your customers that you're going to increase prices as of yet? And I just want to get what's kind of been their reaction to that?
David Dunbar: It runs across the board. I mean all the spectrum of reactions. But there are hundreds or thousands of discussions going on with customers in many of our businesses about price increases. So I don't know -- I guess the bottom line is what we conveyed earlier, we think we can cover to the extent we can cover the tariffs, the 1 challenge is going to be in the scientific business based on the competitive nature of that market and their ability to get price. And all the other businesses, the combination of price and productivity will cover tariffs.
Ademir Sarcevic: Yes, Gary, we're not just approaching this purely from a price standpoint, we're looking at productivity, sourcing, savings as well. So and then the way we're approaching this with our customers, we are kind of all in this together and we're going to come with the best optimal solution for us as well as for our customers. So it's a combination really of 3 things: pricing, productivity and sources of supply.
Gary Prestopino: Well, let me ask you this with your existing sources right now where we're coming from, say, China and India, can you go back to them and say, hey, you guys got to share some of this burden, is -- what you're getting out of China? Is that coming out of Mainland China or Taiwan?
David Dunbar: Well, the 6% we quoted is Mainland China. And so we have -- there, again, you've had discussions with all the suppliers. Some of them have given -- have participated a bit, I guess, with others have not. It just depends on the business and the supplier.
Operator: And we have no other questions at this time. I would like to turn it back to David Dunbar for closing remarks.
David Dunbar: All right. I want to thank everybody for joining us for this call. We always enjoy reporting on our progress at Standex. And finally, again, I want to thank our terrific employees for their hard work, continued support of our strategic objectives and delivering another solid quarter. And thank you for the shareholders for your continued support and contributions. We look forward to speaking with you again in our fiscal fourth quarter 2025 call.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.